Operator: Welcome to the SEI first quarter conference call. At this time all participants are in a listen-only mode. Later we will be a question-and-answer session and instructions will be given during that time. (Operator Instructions) I’d like to turn the call over to your host Mr. Al West, Chairman and CEO. Please go ahead.
Al West: Good afternoon everybody and welcome. All of our segment leaders are on the call today, as well as Dennis McGonigle, SEI’s CFO; and Kathy Heilig, SEI’s Controller. I’ll start by recapping the first quarter. I’ll then turn it over to Dennis, first to expand on a few financial matters and cover LSV and the investment and new business segment. After that, each of the business segment leaders will comment on the results of their segments and finally, Kathy Heilig will provide you with some important company-wide statistics. Then as usual, we will field questions at the end of each report. So let me start with the first quarter. First quarter earnings fell 30% from a year ago on a revenue decline of 26%. Diluted earnings per share for the first quarter of $0.18, represents it 28% drop from the $0.25 reported for the first quarter of 2008. Our earnings for the quarter were adversely affected by first quarter charge to earnings of $14.4 million or approximately $0.05 per share. This is due to a further drop in the market price to the collateral underlying certain SIVs held in our money funds and on our balance sheets. As you know, this is a continuation of the SIV situation we have been addressing since the third quarter 2007 and Dennis will give you an update of the SIV situation in a few minutes. In addition, our first quarter earnings were enhance by a favorable tax rate and a buy out of a lost client, but negatively affected by one-time costs associated with the reduction in our workforce during the first quarter. Our 26% drop in revenue for the quarter was a result of the impact of rapidly declining capital markets on our assets under management and administration. While we experienced gains in new business during the quarter, these gains were more than offset by weaknesses in capital markets, since a good portion of our revenues are directly tied to assets under management and administration. Our non-cash asset balances fell by $11.5 billion during the quarter and SEI’s assets under management fell by approximately $6.1 billion during the quarter, while LSV’s assets under management fell by approximately $5.4 billion, and our global 60/40 portfolio was down 5.9% during the quarter. Also during the first quarter, we repurchased 527,000 shares of stock, at an average price of approximately 1120 per share. That translates to $5.9 million of stock repurchases during the quarter. Now this repurchase was lower than normal and reflecting our increased focus on balance sheet strength. Now the continued turmoil in capital markets make the first quarter particularly a challenging time. We’re whether in the storm, as best we can and while our capital markets have reduced our revenues and profits significantly; we are still profitable in generating positive cash flow. During the first quarter we have reduced the expenses and resized our company to better match the new market realities and we’ve also made adjustments to our strategy to concentrate our marketing and sales activities, where we have short and intermediate term opportunities for revenue growth. Our segment leaders will talk in more specifics about this. We continue to invest in the Global Wealth Platform and its operational infrastructure, because the platform is a critical part of our future. During the fourth quarter of this year, we capitalized $13.6 million of the Global Wealth Platform development and with the backdrop of equity markets and this disruption in credit markets the rest of 2009’s balance is to be challenging. As I mentioned earlier, during these times we will continue to work hard to reduce costs and improved productivity and at the same time, we’ll continue to execute our longer term strategies. Now, we’re firm in our belief we’re on the right path to help our client succeed in the build of strong growing company. When the dust clears on this crisis, we feel be we’ll positioned to prosper, because crisis times like these are enhancing the value of our solutions. Now, this concludes my remarks. So, I’ll now ask Dennis McGonigle to cover some company financial statistics and give you an update on LSV and the investment and new business segments. After that I’ll turn it over to the heads of the other business segments. Dennis.
Dennis McGonigle: Thanks Al. I will provide an update on our money market funds that we have discussed at length in our prior filings and on our past earnings calls. I also have a few comments on our business as a whole and I will briefly cover the first quarter results for the investments in new business segment and LSV segments, as well as an additional item related to that LSV. During the first quarter 2009, the capital markets continue to be negative. These difficult market conditions impacted the market values of the collateral underlying the money market fund SIV holdings, although less so than in the fourth quarter of 2008. The reduction in market value resulted in a direct increase in our obligations under the support agreements we have in place, an increase of losses incurred on those assets we now hold directly. As you are aware from our prior calls and filings, SEI entered into Capital Support Agreement with three SEI money market mutual funds back in the fourth quarter of 2007. During the fourth quarter of 2008, we extended two of those agreements, while the third last as a result of SEI’s purchase, of all of the SIV securities out of that fund at the end of the third quarter 2008. In regards to our money market funds, I will walk through the two covered funds and provide an update. The first is the SDIT Prime Obligation portfolio. SEI has agreed to provide capital support to this fund of up to 100% of losses incurred on SIV’s held on this portfolio. This fund held SIV securities with a par value of $64.8 million on March 31, 2009, down from $258 million at December 31, 2008. During the first quarter 2009, SEI made a decision to purchase from this fund $187.5 million par value of the Cheyne Gryphon Notes. We did this to begin the process of ultimate disposition of these assets. There is one remaining SIV held on this fund. I would refer you to an 8-K we filed on March 12, 2009 for further details. During the first quarter 2009, we incurred non-cash pretax losses of $10.4 million related to the SDIT Prime Obligation portfolio. In aggregate, pretax losses related to this SIV holdings in this portfolio are $157.4 million. This fund continues to maintain a AAA rating by about Moody’s and SMP. The second fund is the SLAT Prime Obligation portfolio. This fund held SIV securities with a par value of $59 million on March 31, 2009, down from $68 million on December 31, 2008. During the month of March, we purchase from this fund $7.4 million par value of a Cheyne Gryphon Notes. I’ll refer you to that same 8-K filing for more details. The obligations under the Capital Support Agreement on behalf of this fund resulted in a non-cash pretax charge in the first quarter of $3.5 million. In aggregate, the pretax losses related to the SIV holdings in this fund are $30.5 million. I’d like to note as it pertains to the SLAT Prime Obligation fund, our Capital Support Agreement requires us to provide capital to maintain an NAV of no less than 0.995. The losses incurred to-date reflects the maintenance of this 0.995 NAV. If SEI purchases the SIV securities from this bond, in their entirety at amortized cost value, we would incur an additional non-cash loss of approximately $7.3 million as a result of that transaction. This loss essentially reflects the difference between an NAV of $1 and an NAV of 0.995. As SEI purchased the assets from the fund, we are required to pay amortized cost value. Once on our books we will then mark these assets to market resulting in this additional loss. To fund the purchase of the Cheyne Gryphon Notes, SEI borrowed under its credit facility. This explains the increase in long term debt on our balance sheet. It is expected that future purchases will also be funded through our credit facility. In addition to the losses discussed earlier, SEI also incurred a loss of $500,000 on previously purchased SIV securities. As a result of our recent actions, in total we hold $208.7 million of par value SIV securities directly on our balance sheet, which carry a mark-to-market value of approximately $70 million on March 31, 2009. To summarize the aggregate current par value of SIV security sales in our money market funds and on our balance sheet totaled $332 million as of March 31, 2009. During the first quarter of 2009 we incurred $14.4 million in total pretax losses. The aggregate amount of charges recorded through March 31, 2009 is approximately of $198 million. The par value of SIV holdings as of April 21, 2009 is $331 million. Giving current market valuations, there will be no charges in the second quarter, excluding the impact from SLAT Prime discussed earlier. I encourage you to review our 10-Q filing when made and all passed filings for further information. I’d also like to remind you that our capital strength has allowed us to deal effectively with 100% of the SIV issue. Our current immediately available cash-on-hand exceeds $280 million and our credit facility and our positive cash flow provide us the capital strength to effectively manage this issue, while continuing the fund the needs of SEI’s business. I’d now like to move to the investments in new business segment and the LSV segment. Activities in the investments in new business segment are focused on direct marketing to ultra-high-net-worth investors. During the fourth quarter, the I&B segment generate a loss of $2 million. This compares to a loss of $2.8 million for the first quarter of 2008. The efforts in this segment continue to be centered on developing and delivering our life and wealth services to the ultra high-net-worth segment and leveraging this learning to other parts of the company. SEI historically has used the investments in new business segment as an incubator for new initiatives. We view the losses in this segment as an investment in future market opportunities and/or services. You can expect losses in this segment to continue. I‘ll now turn to LSV. LSV, given continued market volatility had another challenging quarter of financial performance. Earnings contribution to SEI from LSV was approximately $13.7 million in the first quarter of 2009. This compares to a contribution of $30 million in the first quarter of 2008 and approximately $17 million in the fourth quarter of 2008. This year-over-year and quarter-to-quarter decrease was due to a loss of assets from market depreciation and some negative cash flows. During the first quarter of 2009, LSV’s assets under management shrank approximately $5.4 billion; this was all due to market depreciation. We expect LSV to continue to be challenged by these volatile markets. Revenues from LSV for the quarter were approximately $40.2 million, this compares to revenues of $77 million in the first quarter of 2008 and $47.8 million in the fourth quarter of 2008. Revenues were impacted by asset declines as discussed earlier. On SEI’s balance sheet of our reported cash and short term investments of approximately $428 million, $44 million is attributable to LSV at March 31, 2009. Of our reported receivables of $189 million, $47 million were attributable to LSV. Liabilities are affected by the debt associated with our guarantee to the LSV Employee Group. This was reflected in both current liabilities approximately $3.6 million and long term debt, approximately $21.3 million. As I have mentioned in the past, our consolidation of LSV was driven by the aggregate risk exposure SEI had when we guaranteed the debt issued to the LSV Employee Group in January of 2006. This borrowing is backed by an 8% ownership stake in LSV. That 8%, when combined with our approximate 43% direct ownership stake, places above the magic 30% threshold resulting in consolidation and if you all remember we began that consolidation in January or in the beginning of 2006. In early April 2009, SEI along with other equity partners of LSV entered into an equity pool that serves to provide grants of partnership equity over time to key employees. SEI has agreed to contribute up to approximately 3% partnership interest and equity to this plan. As distributions are made from this plan and if as a result SEI’s overall risk exposure dropped to a 50%, this would trigger a deconsolidation of LSV from our financials, resulting in financial presentation similar to pre 2006 where presentation will move back under the equity method. We will still share in the earnings of LSV represented by our ownership position. SEI will retain full rights, including earnings participation on a 3% present position we contribute until that is grant at someone else. Under this plan there were grants made in April that will result in the deconsolidation of LSV in the second quarter of 2009. SEI’s direct ownership stake as of today stands at 41.7%. We will provide additional information on this deconsolidation as part of our second quarter reporting process. One final comment on the quarter; among other actions taken during the quarter to reduce expenses, we had a reduction in our workforce mid way through the quarter. The one time severance expense incurred as a result was $6.3 million. The full benefit of this expense reduction will not be realized until the second quarter. I would also point out that due to the rapid decline in markets at the end of 2008, I want to remind everyone that expenses during the fourth quarter included the benefit of reduced variable costs due to lower incentive compensation in that period. In the first quarter 2009 however, we did accrue expenses related to variable compensation for the year 2009. With that I will now take any questions you may have on anything I have discussed. Thank you.
Operator: (Operator Instructions) Our first question comes from Jeff Hopson from Stifel Nicolaus. Your line is open.
Jeff Hopson - Stifel Nicolaus: Okay. Dennis can you describe the process I guess for liquidating the SIV exposure based upon market conditions today; how long would you think this might occur? Then the tax rate to severance and the buy out, can you give us a net EPS effect of those?
Dennis McGonigle: Let me address the first question first. In terms of the ultimate disposition of the SIV securities or more to the point, the underlying collateral that sits underneath those structures, we going to be relatively patient with that. We are working with an outside advisor that we haven’t announced who that is and they are working along with us to put more of a strategy together around disposition. Unlike maybe some other organizations where they may have been more in a forced position or so, we don’t feel that we’re in that position. So, to the extent we feel that market values on some of that underlying collateral provide opportunities for us to liquidate today, we would certainly look to do so, but to the extent we feel that market values they do not reflect what we believe ultimate value could be for us overtime and we will be a little more patient. There’s also some potentially, let’s say these were creative in a positive sense. Approaches to this we’re evaluating along with an out advisory firm. On the second question, the net is roughly $0.03 to $0.04. So the tax rate, certainly as we’ve talked about in the past, I had said that this quarter was going to be historically low. For positive reasons we had good results in tax orders that closed out. The severance expense, I mean that’s pretty easier to calculate since we gave you that in the dollar value. The other one time revenue which we benefited from the banking, pretty much as a watch against severance, I bet it sits at about that $0.03 to $0.04.
Jeff Hopson - Stifel Nicolaus: Great, thank you.
Operator: Our next question comes from Glenn Greene from Oppenheimer. Your line is open.
Glenn Greene - Oppenheimer: Thanks. Good afternoon everyone. Dennis just on the expense savings and the restructuring, which I guess you did sort of half way through the quarter and I think when you disclosed it, you talked about it being 5% to 10% of sort of the 2008 expense base. I’m just trying to get a sense for how much of that, the cost savings were realized during the quarter and how much incremental benefit we may see going forward?
Dennis McGonigle: We saw some benefit in the first quarter less around personal cost, because of the severance number. We did see some expense savings; I’m sure flowing through operationally because of some of the things we’ve done with some of our vendors and other expense initiatives we undertook in fourth quarter. We’ll begin to see the four impacts of the people decisions we made in the second quarter. In addition to that, we certainly would expect to see some additional expense improvement in areas where we reduced our reliance on consultants. They have a little bit longer tails to unwind. We can move pretty quickly on it. It takes a few weeks or month or so for them to start to unwind, once we notice that we no longer need their services. So, you’ll see more of a benefit in the second and third quarter.
Glenn Greene - Oppenheimer: Alright and then just one other question, a little bit unrelated, but just to remind me how your billings were; is it based on quarterly average assets or end of month assets? Meaning with the market appreciation towards the end of the quarter, should you get a how more meaningful benefit going forward. Just remind me how your billings work?
Dennis McGonigle: It depends on a business unit, and generally speaking the U.S. asset management business is monthly average or daily average balances throughout the quarter and in the institutional business, generally it’s month end and quarter end balances that we’re billing and in LSV’s case it’s at month end or quarter end as well; that really depends on the business. So, quarter ending assets being lower at the end of the first quarter than they were at the beginning of the first quarter; it just suggests where the lower base going into the second quarter.
Glenn Greene - Oppenheimer: Okay, thank you.
Operator: Next question comes from Murali Gopal from KBW. Your line is open.
Murali Gopal - KBW: Good afternoon Dennis. Just in terms of the $6.3 million in restructuring expenses, could you just give us a sense of how that falls through to the various segments?
Dennis McGonigle: Sure. I mean the bulk of that impact in the bank segment is about a little over half; flow through to banking and then the rest was pretty well distributed amongst the other segments, other than LSV obviously and G&A.
Murali Gopal - KBW: Okay and I apologize if you mention this, but when I look at the LSV assets under management being lower, did you mention how much was due to market related factors versus flows?
Dennis McGonigle: It was all market related. They were actually immaterially positive in terms of cash flow, but they were positive.
Murali Gopal - KBW:
Dennis McGonigle: Not that we’ve really been able to identify. I mean it’s come up in the context of our debt on collateral sit within the SIV’s for example and to-date we haven’t been able to identify where we have the type of collateral that matches up well with the requirements of those programs.
Murali Gopal - KBW: Okay and lastly can you just talk a little bit in terms of using the credit line to purchase the SIV securities versus the cash on hand? How you kind of think about your capital structure in the long term?
Dennis McGonigle: Yes, what we try to do is, we have that credit place in place; we’ve had it for a while. We expanded in last year in anticipation of getting to this point and certainly the cost of borrowing under that facility is fairly low and my view is, that’s really what we will use kind of strategically or tactically against that problem, while we continue to run our cash on our balance sheet for our business. Now, at some point in time, obviously we’ll have to make up the difference between the sales value of those securities or the capital realized from that versus the borrowing and use, balance sheet cash or generated cash to pay down the borrowing overtime, but we view it as a kind of a three year event, so it will be spread out. Also we’re all positively anticipating a improved markets at some point here, which would only see have a very positive direct impact on our cash flow and which will maybe speed that up, to pay down.
Murali Gopal - KBW: Okay, that’s all I have. Thank you.
Dennis McGonigle: Alright thanks.
Operator: Our next question comes from Tom Mccrohan from Janney Montgomery. Your line is open.
Tom Mccrohan - Janney Montgomery: Dennis, the SIV securities that were purchased this quarter, where on the balance sheet they have the multiple securities?
Dennis McGonigle: Yes.
Tom Mccrohan - Janney Montgomery: And are they reflected at the par value or the market value.
Dennis McGonigle: Market value.
Tom Mccrohan - Janney Montgomery: I think you said in your comments, cash-on-hand was about $280 million, I’m just trying to reconcile that to the $428 million shown on the balance sheet. Can you remind us what the difference is?
Dennis McGonigle: The 280 number that I referenced is, if you ask me what’s time it is, 2:30 today; how much cash could I have it 4:00 O’clock, it will be $280 million versus the other. The delta, some cases cash is that tied up in different subsidiary companies that will take a longer period of time to access or we may not be access for capital reasons; it’s cash that’s sitting somewhere for capital purposes or it’s somewhere where it just would take more than a 24 hour cycle to get my hands on.
Tom McCrohan - Janney Montgomery: Okay how much of that 280 is cash at LSV?
Dennis McGonigle: None of the $280.
Tom McCrohan - Janney Montgomery: Alright, okay, that’s really your short term liquidity.
Dennis McGonigle: Yes, the cash on the balance, the LSV cash component is that $44 million, so the 428 I think its $44 million is LSV and then you could make a case of 43% that’s ours.
Tom McCrohan - Janney Montgomery: Yes and I apologize if I missed this, if you give guidance on the tax rate. I know it’s obviously this quarter; what it’s going to be for the balance of the year?
Dennis McGonigle: It will be more normal as we work through the year, so back into that 37%, 38% percent range.
Tom McCrohan - Janney Montgomery: Great, thanks Dennis.
Dennis McGonigle: Alright, Tom.
Operator: (Operator Instructions) There are no further questions this time, please continue.
Al West: Thank you Dennis and I’m now going to turn it over to Joe Ujobai to discuss private banking segment, Joe.
Joe Ujobai: Great. Thank you Al. Today I’d like to review our financials and give you an update on our market activity for the private banking segment. As a financial update, for the first quarter, revenue was approximately $97 million declined by 10% from the year ago quarter and 1% from the fourth quarter of 2008. During the quarter we saw continued, but slowing weakness in our asset management business. Average assets under management for the quarter were $9.8 million, but declined 49% from the year ago quarter and 8.5% from the fourth quarter. Approximately, 44% of the decline in assets was attributable market depreciation and currency evaluation and 36% resulted from net client redemptions. During the quarter our brokerage revenue normalized to approximately $15 million. First quarter revenue also includes one-time buyout fees of $7 million associated with a larger regional bank contract and a community bank contract termination, both due to merger activity. I will provide a further M&A update when I discuss our market activity. Profit decreased from the year ago quarter by approximately 13% to $18.1 million. The profit decrease was due primarily to the decline in asset management and investment processing one-time revenue. Our clients continue to spend less on one-time processing services such as custom programming. Expenses decreased in the quarter by $7.4 million or almost 9% from the year ago quarter. Margin for the quarter was 19% versus 20% in they year ago quarter, again primarily due to lower revenue. As always mentioned, we expect to see continued volatility around our margin as we launch global services in Europe and the U.S. Longer term expect stronger margins as we grow in scale our private banking business on the new platform. As an update on market activity, we’re actively engaged in the following areas. Firstly the continued rollout of Global Wealth Services in the U.K. enable by the Global Wealth platform. We are still in target to convert to our next client Tavilaw [ph] at the end of the second quarter. We continue to sharpen our focus in the U.K. on the independent wealth advisor or IWA business model. As a reminder we define U.K. IWAs as large non-bank wealth management firms who are moving their businesses away from a transaction based product driven, account approach, to the delivery of the fee based discretionary relationship model. This business model would typically mean fewer assets at conversion, but higher asset based fees for SEI and the opportunity for significant growth as we convert the IWAs end clients off of multiple third-party platforms. A typical U.K. IWA has their business custody administrated across more than five platforms such as mutual funds supermarkets and various insurance vehicles. PWS provides a centralized and scalable investment process and relationship model which would strengthen the advisors client process and drive increased revenue. Our selling activity in the U.K. IW space is strengthening we have a number of prospectus in the discovery space; meaning we have qualified the prospect, they have strong interest in our offering and we are determining how we would implement Global Wealth Services in the firms. Next we have a renewed focus on the US opportunity based on current market conditions. As the US banking industry reacts to the uncertainty of the market place, we are beginning to experience some lower transaction based revenue from current clients and cost reduction pressure, both doing recontracting and now also outside of the contract process. We are working to minimize the revenue decline by offering additional solutions and lengthening contract extension periods. In spite of the market conditions we are prepared help our clients succeed on a number fronts. For example, community banks. Community banks or local banks give everyone the opportunity to grow their business as larger regional or national banks and other wealth management space market challenges. We closed one community bank in the first quarter and see our pipeline strengthening for the year. This solution includes both our processing and asset management capabilities. Secondly efficiency and focus; many of our clients are speaking in the current business model, which will link towards larger outsourcing opportunities for SEI. Currently our largest PSP or outsourcing clients have approximately 10,000 accounts under administration. We are scaling the solution for our larger clients targeting banks with accounts three to five times larger. We have launched to focus sales campaign in this market and are seeing early stage interest. The next area is mergers and acquisitions. We have a long and successful track record of helping our bank clients acquire and consolidate large books of wealth management business. M&A activity presents both an opportunity and a risk for us. During the first quarter we received notice that we will lose our regional bank client most likely in the second quarter of 2010. In the first quarter there are one time revenues associated with the termination of this client and also a large community bank. On a positive note, SEI has been selected by Wells Fargo, to serve as the operating platform for the combined Wells Fargo and a legacy Wachovia book of business. This is subject to the execution of a formal agreement. Finally, we are focusing our distribution footprint. Although market volatility has significantly reversed cash flow, we continue to support investor management distribution relationships in selective markets, which I believe will position us to take advantage of the eventual change in investor sentiment. During the quarter, we launched a new relationship with Coast Capital Savings in Canada and are seeing increased selling activity as banks who have traditionally been investor managers consider focusing more on their distribution capabilities. In conclusion, I expect the foreseeable future will continue to be challenging, given our decline in assets under management and the current state of the banking industry. Sales activity is strong, but decision processes are complicated and elongated. We are focusing of the market opportunities available to us now. We believe that in time our significant investments and the compelling full service value proposition we offer will win out and we will again see positive growth. At this point I will take any questions.
Jeff Hopson - Stifel : Okay, thanks a lot. Two question, one would you speculate as to the net effect of Wachovia end versus the loss of the regional bank client and then were there severance cost that hit your expenses I guess in the first quarter?
Joe Ujobai: Yes Jeff. The first question, at this point we aren’t able to say anything more about the Wells, Wachovia relationship because it is subject to the finalization of our contract. So, it will be difficult for me to comment on that at this point. Then secondly I would say that, as Dennis mentioned we did have more than half of the severance cost that was accrued in the first quarter as part of the banking expenses.
Jeff Hopson - Stifel : Okay, but Wachovia theoretically is a pretty big bank obviously, so it’s a solid piece of business, is that fair to say?
Joe Ujobai: We’re extremely pleased to retain Wells Fargo and bring Wachovia onboard and again at this point it’s just premature for me to comment on anything more specific on that.
Jeff Hopson - Stifel: Okay, great. Thanks a lot.
Operator: Our next question comes from Glenn Greene from Oppenheimer. Your line is open.
Glenn Greene - Oppenheimer: Yes, it’s really just a low follow-on to the last question related to margin trends. I guess I was surprised to see the margins on that much, with the benefit of the onetime fee. Just kind of mathematically it would have looked like a 12% margin next to one-time fee and I realize you did absorb half of the severance cost, but still the pressure was a little surprising and I’m wondering what sort of led to that and if that’s a good new base level ex the severance costs?
Joe Ujobai: Well, there are probably four areas in our revenue. We have a lot of different levels of revenue in the bank business. So there are four areas that are under some pressure. So, one area is our asset management business. At the beginning of last year, 2008, probably a third of our revenue was asset based or asset management revenue. It’s probably declined to about 15% of our revenue. So, we’ve seen some significant pressure there./ We’ve also seen pressure in the brokerage area. So, last year we had a very strong transaction quarter in the quarter, particularly the month of December and that’s pretty much normalize. So we haven’t seen as much opportunity in brokerage from a revenue standpoint. As I mentioned earlier, we are seeing some pressure in the one-time processing revenue. So again as I mentioned, it could be us providing customized development for our clients. So banks typically aren’t spending money on these kinds of things. Then the other area is transaction based. So, it’s not necessary to the brokerage, but for example, an important solution that we developed a couple of year ago was mutual fund trading or clearing network service, which is based on asset base. So, we do mutual fund trading and these volumes are down fairly significantly. So we are working hard to adjust our expense base through the workforce reduction and in other areas to try to keep the margin as strong as possible, given those expense pressure.
Glenn Greene - Oppenheimer: It’s also probably fair to think that you’re going to get the bulk or probably half of the expense savings going forward from the restructuring. Is that reasonable?
Joe Ujobai: That would be correct, yes.
Glenn Greene - Oppenheimer: Okay, thank you.
Operator: Our next question is from Murali Gopal from KBW. Your line is open.
Murali Gopal - KBW: Hi Joe. A couple of question; the regional bank client that you talked about, that you’re loosing, just so I understand mechanic right, the buy out of the contract I guess is related to that loss, is that right.
Joe Ujobai: That’s correct. There is actually two buy outs in that $7 million number, mostly the loss of our regional bank and then some associated loss of a large community bank, again that was involved in merger.
Murali Gopal – KBW: Okay, but the related revenue loss we will see only after the deconversion, that’s not expected until the second quarter of 2010.
Joe Ujobai: That’s correct and they would also be additional one-time revenue associated with the deconversion.
Murali Gopal – KBW: Is that going to be spread or the next three quarter or would be more back end loaded.
Joe Ujobai: It would be probably closer to the deconversion.
Murali Gopal – KBW: Okay, and also when you talked about, I think you said 56% of the decline in assets scheme from net client redemptions. Could you talk a little bit in terms of what were the drivers behind these redemptions; were these pricing related or what where the reasons for these redemptions.
Joe Ujobai: These were typically clients that have decided. Again these are through our distribution relationships with banks and these are typically clients that have decided that they don’t want to be in the market anymore and they redeemed their investments in our mutual fund solutions and most of them are in cash, but at the bank distribution partners.
Murali Gopal – KBW: Okay and in terms of Towila [ph] I guess the conversion happens in the third quarter of ’09. I am just wondering in terms of building the servicing platform to bring that client on, are the expenses in terms of building the service platform; generally most of them reflected in a numbers or would their be a acceleration closer the conversion date.
Joe Ujobai: There would be an acceleration closer to the conversion date, particularly around the build that operations, but certainly as we have continued to build the platform, we are building more efficiency in to the platform and so it will be handful of people which would mostly be in the people personal cost associated with operations.
Murali Gopal – KBW: But would there also be one-time related conversion kind of revenues some offsetting those cost or is that something that doesn’t happen…
Joe Ujobai: We’ve been collecting that conversion revenue over the course of the conversion, which could continue up and till the end of second quarter conversion.
Murali Gopal – KBW: Okay, thanks Joe.
Joe Ujobai: Thanks.
Operator: And next question comes from the Tom McCrohan – Janney Montgomery; your line is open.
Tom McCrohan – Janney Montgomery: Joe, can you just size up at all of the Wachovia business in terms of number of accounts or size relative to Well Fargo.
Joe Ujobai: Unfortunately we’re unable to share that information with you based on the agreements we have with Wells Fargo and Wachovia. So that at this point I really can’t comment on it.
Tom McCrohan - Janney Montgomery: Okay, and just conceptually, when you do have buyout like the $7 million just and they typically structure it kind of as a present value of the next expected forward looking one year revenues of kind of present value and that’s what you get or how just conceptually how those buyout?
Joe Ujobai: It depends on where they are in lifetime of their current contract and so if they’re in early stages of their contract and they get acquired we’ll get paid out generally more than a year. If they’re closure towards the end of the contract it would be less and so it generally depends on where they are in the contract.
Tom McCrohan - Janney Montgomery: Alright, assuming the contract goes well with the Wells and Wachovia situation, the actual conversion process itself, you also rely in outside consultants I would think to kind of make that conversion happened, is that fair?
Joe Ujobai: We rely increasingly less on that, we have a lot of their skills in house and so we typically would expect to use mostly SEI employees that we are able to take and we have a strong workforce with a lot of terrific people that have been in this business for 15 to 20 years. So we usually redeploy client service people or other people to help us implement a new client and we rely less on consultants for that type of work.
Tom McCrohan - Janney Montgomery: Alright, thank Joe.
Joe Ujobai: Thanks.
Operator: (Operator Instructions) there are no further questions. Please continue.
Al West: Alright, thank you Joe. Our next segment is investment advisors and Wayne Withrow will cover this segment. Wayne.
Wayne Withrow : Thanks Al. the first quarter was a continuation of the challenging environment that started in the second half of last year, with our revenues declining almost $23 million or 38% from the first quarter of 2008. A decline in average assets under management was the primary driver of declining revenues with our average assets during the quarter being $12.4 billion lower than the first quarter of 2008. Weak capital markets were the biggest cause of our reduced assets under management. We also experienced $900 million of net negative cash flow during the quarter, both declining receipts and a higher than normal redemption rate contributed to poor net cash flow. Profits for the quarter were $10.4 million, a 64% decrease in the first quarter of last year. Our profits reflected the revenue decreased I previously discussed, partially offset by $4.3 million decreased expenses. On the expense side, we saw reduction in most major categories of expenses, with the large reductions coming from reduced direct costs due to lower asset balances and reduced compensation expense. Severance expense slightly offset some of these savings. During the quarter we continue to recruit new advisors and signed 43 new advisors. This represents a 16% increase from the 37 new advisors we signed in the first quarter of last year. The enlarged new advisor team we put in place at the beginning of the year is building their pipeline and we expect that large pipeline will bear fruit later this year. We continue to focus on this effort as new advisors are important not only in the year we recruit them, but also in subsequent years. We also continue to invest in our core offering and later this year, we expect to introduce enhanced end client statements and further automation of transactions with our advisors. These enhancements reflect the continued strengthening of our offering and should keep us in a strong competitive position for the eventual economic recovery. In summary, while we have experienced much financial pain in these turbulent times, the value proposition around outsourcing continues to resignate. We continue to invest in our offering, and are well positioned for the future. I will now entertain any questions.
Operator: (Operator Instructions) Our first question comes from Murali Gopal from KBW. Your line is open.
Murali Gopal - KBW: Good afternoon Wayne. You talked about the gain in terms of the new advisors, but could you talk a little bit in terms of the turmoil in the financial markets for the last couple of quarters and what it means to generally be advisor poor in terms of are you seeing some relatively weaker advisor exiting the market, can you also size the kind of advisors that you have lost in the last two quarters?
Wayne Withrow: Yes, I guess what I’d say is the turmoil in the market; I guess it is putting a lot of stress on the weaker advisor as you might well expect. It is also putting stress on the mix of their business as perhaps some advisors are moving more towards or greater percentage and sort of commission based business as opposed to fee based business, simply because they need to replace the dramatic loss of revenue they’ve experienced over the past six months, so the mix is shared. While they may have philosophically made a commitment to go to a more fee-based book of business, they maybe pausing a little bit now because of the pressure on their revenues.
Murali Gopal - KBW: Okay and could you also comment a little bit in terms of; we did see the operating margin adjusted for the severance improving probably a little bit quarter-over-quarter, but still fairly significantly lower than where it’s been in the past. Could you just comment a little bit on that; maybe from the perspective of the fixed versus variable costs in your segment a little bit?
Wayne Withrow: Yes, I look at the margins in three different ways. I’d say (a) the severance had an impact; (b) just in terms of scale, just reduced AUM; it self reduces the margin; and then finally I’d say, because of the fear in the market we’ve seen a pretty dramatic shift from equity and fixed income in the money market. In GIT type products. Money market and GIT type products, we earn lower fees of most products, even though the expense associated with maintaining and servicing those accounts does not decrease that significantly, so that impact our margins. It would be our expectation that as more confidence returns to the market, you would see those assets flow back into more longer term equity and fixed income products.
Murali Gopal - KBW: Okay and lastly, correct me probably if this question doesn’t really apply that much in your business, but I’m just thinking about, when I look at an advisor and if an advisor has to say more than one advisor work station for us processing needs; and if the advisor behind the financial stress decides to reduce it’s spending in part of what is he doing; probably combining as processing on one single work station. Would that impact you at all or are all your revenues generally driven by asset level?
Wayne Withrow: Well, I’ll answer in two different ways. To answer to your second question is, yes all of our revenues are based on the asset levels, so doesn’t impact us in that way. Where does impact us is in a positive way and that being for an advisor who has a more do it yourself type of operating structure. Those work stations if you will our fixed expenses that go into his operating expenses. So, when this market went down, he kept that fixed expense and it made them much more likely to look at a model like ours, where their expense much more variable based upon our asset level expenses. So, if that factor helps us in the new advisor recruiting side.
Murali Gopal – KBW: Okay, great thank you.
Operator: (Operator Instructions) there are no further questions at this time. Please continue.
Al West: Thank you, Wayne. Our next segment is the institutional investor segment. I’m going to turn it over to Ed Loughlin to discuss this segment. Ed.
Ed Loughlin: Yes, thanks Al. Good afternoon everyone. The first quarter continued to be a challenging business environment for the institutional segment. The impact of strong new client sales and funding throughout last year was masked by the volatile negative capital markets. I will first speak to the financial results for the first quarter compared to the year ago, period then touch on the impact of our expense management programs and conclude with a discussion of sales results. On the financial side, significant market depreciation and unfavorable currency movements caused revenues to decline by approximately $11 million, compared to the first quarter of 2008. Direct costs associated with the asset balances and managed discretionary expenses declined approximately $6 million for the year-over-year period. Profits for the quarter compared to the year ago period declined by $5 million to $15.2 million. The unfavorable comparison of first quarter expenses to the fourth quarter expenses results from the significantly lower variable incentive compensation costs in the fourth quarter, compared to the first quarter expenses. Worldwide institutional asset balances were also negatively impacted by the capital markets. Assets decreased to $11 billion to $37 billion compared to the first quarter of 2008. Net new client fundings for the first quarter, $578 million and the backlog of committed, but unfunded sales was $1.1 billion at the end of the quarter. I am pleased to announce sales for the quarter of $1.5 billion in new client assets. New clients continue to be well diversified by both type and geography. Declining pension funding status, as well as the continued uncertain capital markets are positive catalysts for our prospect clients to accept an initial business meeting and enable us to build a healthy pipeline. However, our past experiences tell us that negative volatile capital markets, coupled with this uncertain business environment tends to lengthen the sales cycle and slowdown institution of decision making. We continue to execute on our long term strategy of enhancing and extending the reach of our pension and endowment solution and also initiating new business discussion with perspective new clients. These activities service well in building a long term growth and value of the business for SEI. Thank you very much and I am happy to entertain your question.
Operator: (Operator Instructions) Our first question comes from Glenn Greene from Oppenheimer, your line is open.
Glenn Greene – Oppenheimer: Good afternoon Ed.
Ed Loughlin: Hi, Glenn
Glenn Greene – Oppenheimer: Just the sales environment; I was just looking for some color. It actually seems like your results were pretty solid, not that different than previous quarters and I guess what your sense are what you are seeing from the end client base, seems like there isn’t that much for slowdown decision making and just a little bit more on the environment of what you are seeing out there.
Ed Loughlin: Yes, we’re certainly happy with the sales results that we see this year. I think where at slowdown somewhat as the larger end of the market and typically each year we would have one or two fairly significantly large investors. We didn’t have anybody really large this particular quarter. We are getting a 150, 200 to 225, but we are seeing a little bit of slowdown in that decision making but at the very larger end. I think the positive side, if it is what I talked about in my comments was that I think that institutional investors don’t want to go through this type of an event again, where they feel but they lack the expertise or the resources to really guide them through this. So I think that’s why they’re taking a lot of our initial business meeting and that again is the health sign for the business. So, we’re optimistic but certainly frustrated with the fact that as we put on all these new assets; I mean the capital markets continue to kind of have them evaporate. So, it’s been a little bit of a challenging.
Glenn Greene – Oppenheimer: How do you filing about your going forward pipeline and prospects.
Ed Loughlin: We feel good about. As I said I mean we are doing the right things and we’re getting the right types of reaction from prospects. So the pipeline continues to be a solid sources of new business force.
Glenn Greene – Oppenheimer: Okay great thanks.
Operator: Our next question comes from Jeff Hopson from Stifel your line is open.
Jeff Hopson – Stifel: Okay thanks. Hi Ed. I’m sorry; I missed that about the larger entities and why there is slowdown there.
Ed Loughlin: Well, I just think there is probably more people that have to involve in the decision making and I think that they are maybe; a larger entity is a larger business, so they have larger business problems. So this is not quite as important to them.
Jeff Hopson – Stifel: Okay, but at the same time, what do you think that some of those entities have potentially the more significant under funding problems I guess.
Ed Loughlin : Absolutely; I mean the larger the entity the larger the pension plan okay, the larger the impact that would be negative, so that they would have certainly probably a large under funded problem.
Jeff Hopson – Stifel: Okay, so the problem is there; it’s as big, it’s just the decision time and focus on the issue right now has been extended I guess.
Ed Loughlin : Well, it’s maybe not the first strategic item that they are addressing and I think that the problem is there. It will be addressed; we’re confident that we will be having conversations with them, but it will just be more extended.
Jeff Hopson – Stifel: Alright, okay. Thanks.
Operator: Next question comes from Murali Gopal from KBW. Your line is open.
Murali Gopal – KBW: Hi Ed.
Ed Loughlin : Hi, Murali.
Murali Gopal – KBW: One very good question; in the new mandates that you are bidding for and the mandates that you don’t ultimately win, could you talk a little bit in terms of, are they specific competitors that you are seeing kind of wining these mandates or can you kind of talk about why you may not be winning certain mandates? You talked a little bit about the size of the mandate, recently kind of large mandates not coming through. Does that have anything to do in the current market turmoil, the larger players kind of looking at much larger service providers; is there any correlation there at all?
Ed Loughlin : Well, let me clarify it. When we talk about mandates okay, I’m not talking about mandate that we would win a large cap mandate or a small cap or a global fixed income. We are talking about the overall size of the plant. So, our proposition to a client or to a perspective client is for them to outsource the entire pool of money to us. So, it boils down to a couple of things; one, we tend to have a pretty good close ratio, where a prospect has decided that they want to outsource this through a provider similar to SEI, where we can provide both advice, implementation through our investment management program and then all the administration through our trust and custody platform. Where we tend to not win, would be a client who isn’t committed to doing that; who would typically want to stay with either doing it themselves or a variation of that, doing it with the help of the consultant. So those are kind of the dimension that we would typically see that would be characteristic of us winning or losing their appetite, their willingness to outsource. If I want to outsource, again, we have a pretty high probability of winning in a good closed ratio. Does that answer your question?
Murali Gopal - KBW: It does, but also who are the competitors that you kind of frequently are competing with?
Ed Loughlin: Okay, well I think on the one side certainly consultants would be one competitor, because that would be one decision that a client would have to make, if you want to use a consultant. Then in a second, there’s firms out there like Frank Russell and Northern Trust that are in this particular space.
Murali Gopal - KBW: Okay, great. Thank you.
Operator: (Operator Instructions) There are no further questions this time, please continue.
Al West: Thank you Ed and our final segment today is investment managers and I’m going to turn it over to Steve Meyer to discuss this segment. Steve.
Steve Meyer: Thanks Al. Good afternoon everyone. I will briefly cover the financials for the segment for the first quarter of 2009 and focus my remarks on our pipeline, the market and our outlook for the quarter. For the first quarter of 2009, revenues for the segment totaled $33.3 million or 8.6% decrease compared to the first quarter of 2008. Although we had new business funding during the quarter, these revenues were more than offset by the asset declines and the drop in relative revenues due to market. Our quarterly profit for this segment of $10.5 million was essentially flat from the same quarter a year ago. Third party asset balances at the end of the first quarter of 2009 were $221.8 billion, were $12.8 billion lower than at the end of the fourth quarter of 2008. Approximately $7.3 billion of this decline was due to market depreciation and the remainder was primarily due to negative cash flows. During the first quarter of 2009, the segment had new business sales events totaling $6 million in annualized revenue. I view this number as strong for the quarter in light of the market conditions and uncertainty in the market. More importantly, despite the challenging markets, our pipeline continues remain strong and active. We are continuing to see some firms delay decisions and funding dates, which is our biggest challenge; however, we’re also seeing some light at the end of the tunnel, as some firms push through and finalize our decision process. This is evidenced by our closures during this quarter. Our new business focus for the remainder of the year is to execute on the needs for our solutions and to continue to harvest our pipeline, so we will be properly positioned when decision cycles finalize. While the market conditions continue to effect decisions, we still feel strongly that there is opportunity for long term growth. Our main objective is to position ourselves for that group. From a market standpoint, much is the same as reported during our previous quarter’s call. While there is increased activity, there is a longer sales cycle to navigate through. Also these decisions are not being taken wisely by investment managers in this environment and more extensive due diligence and processes are being put in place. Ultimately we feel this is a positive trend in the market and feel that this goes hand-in-hand with increased opportunity for growth. So in summary, our focus remains the same and we will stay course. While the market faces challenges in the near term, we see opportunities for growth. Also we see the needs of investment managers in the marketplace increasing, as well as new requirements for them to compete effectively. All of which bode well for our business and the solutions that we have invested in and continue to develop. I will now turn it over for any questions you many have.
Operator: (Operator Instructions) Our first question comes from Jeff Hopson from Stifel. Your line is open.
Jeff Hopson - Stifel: Okay thanks. It seems like your clients are still holding up pretty well, although you did have some negative cash flows. Any sense on kind of where we are in the cycle for cash flows and talk about your clientele I guess in general and how they are holding up here? 
Steve Meyer: Well Jeff, I think in total again our clients did hold up fairly well. I think although, we did see some outflows and some redemption, they were probably less than half of what you would see was being reported in the market as market average. So I think from that standpoint, things are holding up pretty well. Again I think our biggest challenge as we play through the cycle, many managers especially in the hedge fund space are trying to regain confidence due to the market, as well as some of the scandals that have taken place with their investors and they’re also looking for ways at the same time to compete more effectively, which also means looking to outsource some of their functions. The biggest dilemma we face is really the delay of these decisions and the longer timing of these processes.
Jeff Hopson - Stifel: Okay, great thank you.
Steve Meyer: Sure.
Operator: Our next question comes from Murali Gopal from KBW. Your line is open.
Murali Gopal - KBW: Hi Steve. Just very quickly; when I look at the assets under administration, particularly for the assets under administration for the alternative asset managers, just given everything that we have seen, the turmoil over the last couple of quarters, would you say that the rate of decline or the rate of outflow redemption just from that particular segment of the market as the rate of decline, do you see that slowing down, do you see any stabilization there at all or is it still trending significantly above normal levels?
Steve Meyer: I guess there’s two parts to that question; one, for us, we as I said see our clients tend to have a lower redemption or attrition rate than the industry, but overall from a market standpoint, we are starting to see that slowdown and kind of assets leaving due to redemptions definitely pacing off.
Murali Gopal - KBW: Okay, thank you.
Operator: Our next question comes from Tom McCrohan from Janney Montgomery your line is open.
Tom McCrohan – Janney Montgomery: I have a couple of follow-up question on hedge fund space. You’ve kind of talked in the past about your views on how the industry is going to consolidate to this turmoil if anything. Is it playing out as you thought it would play out as far as the number of firms and how much the industry you think will contract?
Steve Meyer: I don’t think there is been any real big moves as far as consolidation, but looking at how it’s playing out, I think it is playing out as we have thought. I think as more and more firms are looking to outsource as well as maybe enhance the outsource they already have I think that is playing along the same lines we thought. I think there is more opportunity and I think people right now are looking for strong players with the breath and depth the capabilities. So I think its right in our wheel house and I’d say that although there’s not been a big news on consolidations, I think it’s kind of playing to where we thought it would.
Tom McCrohan – Janney Montgomery: And just on the competitive landscape, both state street and the bank in New York, the two custody banks were kind of pointing to some of the same trends you’re talking about, hedge funds needing to spend some money on your back office and more receptivity to outsourcing the back office. So are you bumping up more again some of the larger custody banks or maybe you can give us a lay of the landscape on the competitive side.
Steve Meyer: Well, I think we’ve always bumped up against some of the larger banks. I mean they are competitors of our and again I think we’ve talked about our focus on kind of the middle segment of the market. I think the one thing that’s changed is larger asset managers that might have outsourced before and gone with a more larger banking provider and looking for less capability, more volume, cheaper price. I think are we think those decisions and looking for more capability and more tools and solutions to affectively compete. What that means is, I think they are looking at everybody. So I thing that is increasing the pipelines of firms like ours.
Tom McCrohan – Janney Montgomery: Can you just remind us again; assuming kind of the larger hedge funds are going to survive this crisis and just get bigger and spend some money in the back office, what would be the decision point for them to kind of outsource versus just doing it in house.
Steve Meyer: I think that’s a loaded question. I think there’s a couple of things now in today’s new market realities. First of all, even the larger players that currently to it in-house and I think this is large due to some of the scandals in the market, they are being pushed by their investors to outsource and I think there is a strong demand from the investing marketplace saying that they want some focused on their core competency and wants an independent verification of processing of their back office. So I think that’s driving a large part of the large in-sources. I think before they would look at certain asset levels or certain dollar amount of capital, but right now I think many managers across the spectrum, from small, middle to large are looking to make these back office, middle office, processing expenses more of a variable cost in these market times versus a fixed cost.
Tom McCrohan - Janney Montgomery: Okay, thanks Steve.
Steve Meyer: Sure.
Operator: There are no further questions at this time. Please proceed.
Al West: Thank you Steve and now I’d like to turn it over to Kathy Heilig to give you a few company wide statistics. Kathy.
Kathy Heilig: Thanks Al. Good afternoon everyone. I have some additional corporate information about this quarter. First quarter cash flow from operations was $48.5 million or $0.25 per share. First quarter free cash flow was $28.1 million or $0.15 per share. First quarter capital expenditures was $3 million. Capital expenditures for the remainder of 2009, leading capitalized software are expected to be between $8 million and $10 million. As we said before, our new facility is on hold for now. The tax rate for the first quarter was 21%, which was a result of acceptance of the tax positions in federal and state income tax audits that were closed during the first quarter. That compares with a fourth quarter tax rate of 50% and the remaining quarters as we said earlier, we would expect our tax rate to be in our more normal range of 37% to 38%, which should give us an expected annual rate of 34% to 35%. Our accounts payable balance at March 31 was $9 million. We would also like to remind you that many of our comments are forward-looking statements and are based up on assumptions that involve risks, and that the financial information presented in our release and on this call is un-audited. Future revenues and income could differ from expected results. We have no obligation to publicly update or correct any statements herein as a result of future developments. You should refer to our periodic SEC filings for a description of various risks and uncertainties that could affect our future financial results. Now please feel free to ask any other questions that you may have.
Operator: (Operator Instructions) Our first question from Glenn Greene from Oppenheimer, your line is open.
Glenn Greene – Oppenheimer: Kathy, what was the capitalized software in the quarter and what’s expected going forward?
Kathy Heilig: It was $13.6 million and we would expect to be around there going forward.
Glenn Greene – Oppenheimer: Okay, thanks.
Operator: (Operator Instructions) There are no further questions; please proceed.
Al West: So ladies and gentlemen, despite some of the external uncertainties we faced and its impact our results, the strength of our company is allowing us to state the course of transformation. Now, while we have a lot yet to accomplish, we’re making important strides and definitely feel our efforts will eventually be rewarded, and as I mentioned before greatest times like these enhance the value of our business propositions. So before we part, I want to invite you to our Annual Investor conference. This year it will be held on the evening of June 2 and the morning of June 3. So please save those dates and invitations will be sent out very shortly. So, thank you very much for joining us and have a good afternoon.
Operator: Ladies and gentlemen, this conference will be available for replay after April 23, 2009 through July 23, 2009 09:00 PM. You access to AT&T teleconference replay system at anytime by dialing 1-800-475-6701 and entering the access code 986579. International participants dial 320-365-3844. Those numbers are again 1-800-475-6701 and 320-365-3844; access code 996579. That does conclude our conference for today. Thank you for participating and using AT&T executive teleconference. You may now disconnect.